Operator: Good afternoon and good morning everyone. Welcome to the VEON’s Third Quarter Results presentation for the period ending 30 September. Nik Kershaw here, VEON’s Group Director of Investor Relations. I'm pleased to be joined in the room today by Kaan Terzioglu, our Group CEO, along with our Group CFO, Serkan Okandan and Alex Bolis, Group Head of Corporate Strategy Communications Investor Relations. Our country CEO is on the line with us today as well. Today's presentation will begin with the key highlights and the business update from Kaan. Following this Serkan will discuss the detailed financial results. We will then hand it back to Kaan to discuss our outlook and priorities for the full year 2021. As ever, we will ensure there's ample time for your questions, but we would ask that you save these for the end of the presentation. Before getting started, I would like to remind you that we may make forward-looking statements during today's presentation, which involve certain risks and uncertainties. These statements relate in part to the company's anticipated performance and guidance for 2021 particularly in light of the COVID pandemic, future market developments and trends, operational and network development and network investment and the company's ability to realize its targets and commercial and strategic initiatives including current and future transactions. Certain factors may cause our results to differ materially from those in the forward-looking statements, including the risks detailed in the company’s Annual Report on Form 20-F and other recent public filings made by the company with the SEC. The earnings release and the earnings presentation, each of which includes reconciliation of non-IFRS financial measures presented today can be downloaded from our website. With that, let me hand over to Kaan.
Kaan Terzioglu: Thank you, Nick. Good morning to all and welcome to the presentation of our third quarter results. Today we are reporting a second consecutive quarter of double digit growth. On a local currency basis in Q3 group revenues grew by 11.2% year-on-year, bringing growth for the first nine months to 9.7% at the top end of our guidance. Local currency EBITDA in Q3 was up by a very solid 9.1% given the ongoing strong focus on cost efficiency. Normalizing for one of items which Serkan will discuss in more detail our EBITDA like-for-like was up 13.6% year-on-year. This strong performance was visible in reported currency as well, where revenues grew by 10.2% and EBITDA increased by 8.6. In this quarter, we started the value crystallization of our infrastructure assets with the announced tower sale in Russia. We accelerated the transformation of our operating companies into digital operators expanding our multi-play and double play 4G base by 38% and we expanded the reach and scope of our digital services including JazzCash and Toffee. Given this better than anticipated performance, we are increasing our full year EBITDA guidance to minimum 8% local currency growth, and maintaining our current revenue guidance at the high single digit local currency. Moving on to slide 6, I want to give you a country by country detail of our local currency performance. This shows revenue growth across all of our markets with double digit growth in five of our countries. These are positive EBITDA trends across all our markets other than in Pakistan, where the growth was impacted by a one off in the prior year. Adjusting for this one off Pakistan EBITDA was up 24.6% year-on-year. Ukraine, Pakistan, Kazakhstan our core growth markets all showed strong double digit underlying growth in both revenue and EBITDA. Russia with 8.2% revenue growth in Q3 was the largest nominal contributor to our group revenue increase. Let me now take you through the individual performances of our largest markets during the quarter and I will start with Russian. Beeline recorded another quarter of accelerating growth with total revenues rising 8.2% year-on-year. This quarter we also saw mobile service revenue growth of 4.5% and this is the second consecutive quarter of growth. It was good to see continued acceleration in revenues through the quarters with total revenues up 10.2% and mobile service revenues growing 5.3% in the month of September as we close the quarter. 4G users are now at 25.4 million, up 17% year-on-year with growth rate of nearly 30% over the past two years. They now account for more than half of our total customers in Russia, supporting net promoter scores getting higher, ARPU growing and churn lowering. In Moscow where we invested heavily to improve customer experience we have seen year-over-year improvement in net promoter score of 8 points year-over-year while our competitors NPS scores declined over the same period. Going forward we expect similar improvements in other regions where we are actively investing. We have also seen encouraging trends in mobile number portability. Again in Moscow year-to-date there has been a more than doubling of net porting and in Russia as a whole we have seen a 90% reduction in net promoters. Let us now turn to Ukraine. Kyivstar delivered another quarter of strong performance with double digit growth in both revenue and EBITDA. Revenues grew by 12% year-on-year in Q3, showing consistent growth over the past two years. This has been supported by equally strong and consistent rise in 4G penetration across our subscriber base. We added 2.8 million 4G subscribers year-on-year and 5.3 million over the past two years corresponding to an 84% growth. It is supported by our continued focus on network improvement including better coverage on mobile and fixed networks and additional focus on coverage on the main highways of the country. We take a look at Pakistan on slide nine just delivered 13% growth in revenue, EBITDA after adjusting for the one off item in the prior year grew 24.6%. Revenue has accelerated strongly over the past year enabled by more than 50% in 4G subscribers, and 4G penetration has now reached 47%. Customer who use at least one of Jazz's digital applications such as JazzCash on top of voice and 4G now represent 27% of our one month active customer base and they account for half of our subscriber revenues. It shows the revenue generation potential of this strategic segment. On slide 10, we will offer a recap of Kazakhstan. Kazakhstan delivered another period of outstanding performance. Revenue was up 25.5% in Q3 as our subscriber base on 4G grew 27% year-on-year, reaching 62% of penetration of our total subscriber base, the highest in our portfolio. Our data revenue growth was an impressive 40% with our ARPU growth of 22.7. Revenue growth has accelerated over the past 12 months supported by the growth in data revenues which in turn is enabled by the high 4G penetration of our subscriber base. Fixed mobile conversion products continue to contribute to this success with 23% of the broadband base also using our mobile services. And now Bangladesh on slide 11, despite the challenges in Bangladesh, including partial and full lock downs during the quarter Banglalink delivered 7.2% revenue growth, 32% growth in data revenues and 61% 4G subscriber base expansions as we continue to gain market share in this critical market. Engagement rates for our digital services continue to trend higher, and the double play 4G and multi-play customer base grew 89% year-on-year. Our entertainment platform Toffee now has 6.3 million monthly active users, an increase of 1.3 million during the first quarter. Finally, on slide 12, let me turn to our other markets, which are summarized here on the slide. Growth in our 4G subscriber base in these markets continues to increase as population coverage ranges from 61% to 93%. It has contributed to an encouraging increase in data usage growth ranging from 26% to 33% and the corresponding growth in data revenues ranges from 3 to 24. In early July we announced that we had exercised our put option to sell our stake in Jersey, in Algeria. The process to determine the fair market value at which this transaction should take place is continuing. Algeria does not contribute to operational consolidated results due to being accounted for as a discontinued operation. We continue to manage Jersey on a standalone basis and recorded the growth in revenues of 3.6% in EBITDA and 6.3% in EBITDA and 4G subscriber base grew by 29%. Let us now look into some of our digital products. JazzCash has increased its active user base by 44% serving 14 million customers. In addition to consumer customers now it is also serving 89,000 merchants tripling over the past year. A new service simply in Kazakhstan reached 455,000 users following its launch in June 2021. Banglalink entertainment platform Toffee reach 6.3 million users and over 70% of Toffee’s users are none Banglalink customers. Toffee subscribers, who are also Banglalink customers using our 4G services have nearly three times higher ARPU, a quarter of the churn rate of the total subscriber base while consuming six times the average data. Lastly, big data AdTech revenues across Russia, Kazakhstan and Ukraine more than doubled year-on-year, recording 2.3 times, 2.2 times and 2.6 times growth respectively in these countries. Slide 14 shows and summarizes how our digital products on the back and on the top of our 4G network are driving higher levels of customer engagement. The double-play and multi-play 4G customers are demonstrating materially higher engagement across ARPU, churn rates, data usage and minutes of use. Our multi-play and double-play 4G user base across the group reached 34% of our active one month subscriber base and it is accounting for 61% of our subscriber revenues. Let me pause here and hand the call over to Serkan to discuss our third quarter financial results in more detail. Serkan?
Serkan Okandan: Thanks Kaan. Good morning and good afternoon to all participants. In the coming slides I will elaborate on our financial results for the third quarter in more detail. Before turning to the numbers summarized here on slide 16, it's important to note the number one of items that impact year-over-year comparisons with the third quarter of last year. These are set out in the appendix of this presentation deck. But to summarize, there are some key items to bear in mind. In Q3 Last year, there were two items, both impacting EBITDA. First, reversal of a provision of $52 million in Pakistan, and second, recording a tax provision of $15 million in Uzbekistan. In Q3 this year, there are three items to note. First, we recorded the government grant on radio frequency fees of $6 million above EBITDA in Kazakhstan. Second, triggered by the court decision, our export license in Pakistan is now capitalized as an intangible asset, and is now amortized above EBITDA rather than previously reported as an operating cost above EBITDA. This uncertainty around the accounting for this has now finally been resolved. Lastly, our Algeria business is now accounted for as a discontinued operation given the ongoing sales process. I should explain how these impacts certain reported numbers as we look at revenues and EBITDA in detail in the following slides. However, setting these aside, Q3 was another quarter with strong results for the group. Revenue rose by 10.2% year-over-year on a reported basis, and 11.2% in local currency terms, driven by an acceleration of growth in Russia, and double digit growth rates in all our other key markets. The results overall investment in 4G networks is clear in another strong quarter for data revenue, which grew by 18.8% year-over-year in local currency terms, and supported local currency service revenue growth of 9.4%. Group EBITDA increased by 9.1% in local currency terms, and 8.6% reported and corresponded to a reported EBITDA margin of 44.4%. The year-over-year decline of 60 basis points is largely due to the provision reversal in Pakistan recorded last year as I mentioned earlier. Operational CapEx rose by 17.1% as we continue with our network investment program. This results in last 12 month CapEx intensity ratio of 25.2% for the group. If Algeria was included, last 12 month CapEx intensity would have been around 24.4%. The group reported $195 million in net income in Q3 versus a net loss same quarter last year. Finally on this slide, equity free cash flow was free $308 million for the quarter supported by double digit revenue growth and in turn stronger EBITDA. Looking at revenue in more detail on slide 17, the quarter was strong across all our markets, with particularly high growth rates in Kazakhstan, as a consequence of 4G subscriber growth and then encouraging performance from Beeline Russia, where positive momentum continued. Once again, this performance was supported by strong 4G adoption and customer growth with a further increase in data usage. These mirror the increasing demand we are seeing for our growing range of digital services. Slide 18 sets out our EBITDA performance in greater detail. As I mentioned earlier Pakistan's year-over-year EBITDA the growth rate is impacted by last year's provision reversal. Excluding this Pakistan's normalized EBITDA growth would be 24.6%. Also, the large year-over-year rise in Uzbekistan EBITDA primarily reflects the one of tax provision recorded in Q3 last year. Adjusting for this Uzbekistan's EBITDA still grew by an impressive 31% year-over-year. In addition, Kazakhstan EBITDA this quarter is boosted by $6 million, due to a government grant on radio frequency fees. Adjusting for these one off items in both years, our EBITDA margin would have expanded year-over-year rather than the 60 basis point decline reported. A key element in this underlying improvement is the contribution now being made by project optimum. To remind you of our mission here, we aim to achieve a one to two percentage point improvement in group cost intensity ratio by financial year 2023 although the greatest impact to project optimum is likely to be seen in 2022. Our continued success in reducing our corporate overhead also made a positive contribution to group profitability this quarter. HQ corporate overhead further declined by 39% year-over-year to only $26 million in Q3, over the past two years, the reduction has been impressive 65%. Looking now at CapEx and operational cash flow on slide 19, 4G network investment remains a top priority for group expenditure during the quarter. This is reflected in the 17.1% rise in report and CapEx to $381 million. This corresponds to a reported last 12 month CapEx intensity ratio of 25.2%. Although on a year-to-date basis, the ratio is 22%. Russia was again the primary focus of this investment, accounting for around 60% over our operational CapEx, the same proportion as we reported in the second quarter. Continued investments in our digital capabilities and services remain the key strategic focus throughout the quarter and helped us to grow our digital users significantly. Operational cash flow continue to strengthen in Q3, reflecting the strong EBITDA performance in our markets. For the quarter as a whole operational cash flow amounted to $509 million, a significant rise from the $374 million dollar reported in Q2 with Russia, Ukraine and Pakistan accounting for around 80% of this. Turning now to group debt and equity free cash flow on slide 20, at the group level net debt was around 6%, lower than in Q2 at $8.15 billion which primarily reflects the appreciation in the Ruble against the U.S. dollar during the quarter. Our leverage ratio was 2.5 times, which is lower than 2.7 times in Q2 after the impact of Algeria is accounted for, and is in line with our internal level of comfort. We made a further drop down under our global medium term note program during the quarter issuing 20 billion Rubles in five year notes, which is our third Ruble bond issue under the program as we continue to focus on diversifying our debt while managing FX risks. This resulted in a small 20 basis point year-over-year rise in our average cost of debt to 6.3%. However, we also extended our average debt maturity to 3.2 years. Group liquidity remains strong with total cash and committed credit lines, credit facilities, amounting to $3 billion. All cash inflows from our tower transactions and the sale of Algeria will be used to reduce group debt. Turning now to equity free cash flow, which is summarized on the right hand chart of the slide, the group recorded a strong result of $308 million equity free cash flow in the quarter. This reflects our strong EBITDA performance, as well as lower operational CapEx than last quarter and then improvement in working capital management. This improvement leaves equity free cash flow at $321 million for the first nine months of the year. This brings us to slide 21 and our financial guidance for the full year 2021. With operational momentum that has been building throughout the year we have continued to perform ahead of our guidance. As a consequence, we believe it is appropriate to revise our 2021 financial guidance once more to reflect the likelihood over stronger EBITDA performance. We are there for raising our group EBITDA guidance from mid to high single digit growth to a minimum of 8% local currency growth. Our group revenue and CapEx intensity guidance remain unchanged. With regards to dividends, our dividend policy remains unchanged. This is at least 50% of equity free cash flow after licenses while at the same time ensuring group leverage is managed within 2.4 times. With that, let me pass back to Kaan for closing remarks before we turn the call over to your questions. Kaan?
Kaan Terzioglu: Thank you, Serkan. Let me close our presentation with a reminder of our priorities for 2021 and our progress to-date. One, we are progressing well on the path to increase our 4G subscriber penetration. With a 10 percentage point increase year-on-year, we have now reached 46%. Our target over the medium term is to reach 70% penetration. Two, we remain focused on delivering growth in Russia as we accelerate the total revenue growth with further progress on subscriber growth, most notably in 4G. Maintaining this is a top priority in the months ahead as we strengthen our market position. Three, Ukraine, Pakistan, Kazakhstan continue to deliver double digit growth. We are also encouraged to see the good revenue trends in Bangladesh a market which offers good structural growth opportunity. Four, our digital operators strategy is being executed through a deepening customer relationship with our subscribers supported by the growth of multi-play base. With the encouraging growth rates in JazzCash and Toffee, crystallization of value for these products remains an important focus. We maintain our discipline in managing our portfolio. Acquisition of minority shares in Georgia and restructuring of the ownership of Beeline Uzbekistan are examples of the quarter. We remain ambitious on costs and continue to improve group's cost efficiency under project optimum, both at the country level and in our headquarters. Finally, we remain committed to realizing the value of our considerable infrastructure portfolio. We announced the sale of Russian towers and we have established separate tower entities in Ukraine and Pakistan. In Bangladesh, we are considering various options to crystallize the value from our infrastructure. On December 7, we will be hosting our capital markets day where we will discuss our strategic priorities and high level financial outlook for 2022. With that, I would like to thank you for your attention and turn the call over to the operator for your questions. Operator?
Operator: Thank you. [Operator Instructions] Yes. And your first question comes from the line of Henrik Herbst from Morgan Stanley. Your line is open. Please ask your question.
Henrik Herbst: Great, thanks very much and congratulations on the turnaround in Russia. I was just wondering if I could ask you on Russian questions…
Kaan Terzioglu: Coming from the system? You operator is not operating. Can we get the questions? Yes.
Henrik Herbst: Can you hear me? Hello?
Operator: Henrik Herbst, please continue.
Henrik Herbst: Yes. Can you hear me? Hello?
Operator: Please continue. 
Henrik Herbst: Can you hear me?
Kaan Terzioglu: We can hear you. 
Henrik Herbst: Great, thank you very much and congrats, again on strong set of results. Can I ask you about the margin progression in Russia and how we should think about the much slower EBITDA growth, I guess in service revenue growth. I know that you've had sort of prioritized network investments and turning the top line around in Russia. But I was just wondering if you could talk a little bit about what you're investing OpEx at the moment. And as we go into 2022, should we see the gap between service revenue growth and EBITDA growth closing with hopefully EBITDA growth picking up I guess? That was the first question. And then the second question I guess is just if you can talk a little bit around the ARPU growth in Russia as well. It seems like ARPU growth is slow, although you're seeing very impressive taking about 4G, and as you point out the ARPU on 4G customers it's a lot better. So just your thoughts around that, I guess. And then where we are in terms of potentially adjusting prices upwards? Thanks very much.
Kaan Terzioglu: Thank you. And I guess Alex, on the top of -- on the call as well. I will give the word to him. And I share my thoughts on. First of all, I'm extremely satisfied with what the team is doing in Russia executing our turn around. It's been really remarkable. And I get your question about the EBITDA and why the EBITDA growth is less. As I have mentioned numerous time over the quarters this year was a critical year for us, our network management functions. And I visited actually our technology campus last week Friday and I saw that this presentation was almost 95% completed with excellent results in terms of the team that you can provide to our customers. Of course, there's an impact cost base. On the second side, that's not as we expand our network and as Serkan mentioned we have allocated almost 60% of our CapEx to Russia is that every single engineering and construction team in Russia is running out to rollout base stations, of course additional impact on the run rate. Now, you also asked about the ARPU growth, the situation in terms of network quality pricing and the NPS where we are coming from. Until late July we have deliberately stayed away from making upward price adjustments which the market actually is quite justified to make for and you will see us more active on that side. May I ask if Torbakhov Alexander is available for taking the calls for providing further color? Can we un-mute Alexandra? Alexander Torbakhov is our General Manager in Russia Beeline.
Serkan Okandan: While waiting for Alexander maybe I comment about margin because you ask about the long term EBITDA trajectory. I would suggest to look at EBITDA in absolute numbers going forward, especially in Russia. Why I'm seeing this because first of all, the revenue composition is transforming in Russia and in each and every revenue bracket we have different marginality. And on top of that, with the closure of this Russia tower deal starting from next year cost structure will also be transformed to a different model. So both of them will impact the EBITDA margin, so probably the margins will not be apple-to-apple comparable next year to this year. So I would suggest in the long term, keep an eye on the EBITDA in absolute terms rather than margins, EBITDA margins specifically for Russia.
Kaan Terzioglu: Again sorry, it looks like we have difficulty in un-muting Alexander. But I want to use this opportunity to congratulate Alexander on a successful rebranding of our operation Beeline with the new logo and customer value proposition saying we are on your side. Thank you Alexandra. Please, let's take the second question.
Operator: Thank you. And your next question comes from the line of Cesar Tiron from Bank of America. Your line is open, please ask your question.
Cesar Tiron: Yes, hi, everyone. Thanks for the call and for taking my questions. So I'll go with the first one. Going back again to the Russian out-backs. I think there were in the past some different layers that you did mention to improve the efficiency of that business and that would have included, for example, closing down more stores. Is that still on the cart right now?
Kaan Terzioglu: Cesar thanks a lot for the question. We are continuously optimizing our distribution network. We have almost reached 1,000s in terms of store closures in terms of digital optimizations. But as we do that, we really look into the business model as well. And look the ways of how franchising works, how digital channels works and I will note your question, and I will definitely ensure first of all Alexander can talk in the next quarterly call and we will give you further color on these issues as well.
Cesar Tiron: Great, thank you so much. I just wanted to ask a second one if that's okay. I wanted to understand on the potential unlock of the balance sheet dramatics, obviously we've seen the Russian tower deal. Are you guys also looking to monetize towers in other countries? And what progress have you made on this team? Thanks.
Kaan Terzioglu: Cesar thanks a lot. As I mentioned numerous times I think there is no telco in the world has the luxury to have exclusive towers. Network sharing is a must and it will of course, start with the passive side of the equation. So our commitment to slides value of our tower assets across our portfolio is remained strong. We have already established standalone entities in Pakistan and Ukraine. In Bangladesh, the regulation doesn't allow us to own our company and we are in various different strategic alternative talks with the independent operators there as well. So this objective continues but please keep in mind that the way we are going to crystallize the value of towers and unlock the value from the balance sheet, this is not only a sales and leaseback transaction. When we look to tower deals, we look to sustainable operational cost reductions, CapEx reductions as well as a healthy portion of future multi tenancy revenues coming our way. That's how we managed to secure a very good deal in Russia. And if you look from an upfront consideration perspective, probably with the new currencies it is now slightly about a billion dollars. But in terms of the net present value that this operation will bring to our company, in terms of CapEx, OpEx savings and the ability to up from share future tendency increases has been remarkable, and we are very satisfied with that. 
Operator: Thank you. And our next question comes from the line of Ondrej Cabejšek from UBS. Your line is open. Please ask your question.
Ondrej Cabejšek: Hi, thanks for the presentation and congratulations on the good numbers. Just a follow up in terms of Russia, can you breakdown for us the kind of 4G and non 4G ARPU in Russia and how you see the share of the 4G subscribers going forward? I believe you're kind of behind some of the market leaders in terms of the ratio, even though that's growing quite fast. So can you maybe elaborate a bit on what are the structure -- your ratio was a bit lower than the market leaders and how fast you think you can catch up? And then in terms of free cash flow, couple of questions, please. You mentioned on the Pakistan situation. Can you give us maybe some list or risk kind of assessment in terms of one off specifically spectrum going over the next four to six quarters? Then what is the outlook for working capital over the short to medium term? And at what kind of minimum free cash flows equity levels as we get towards the end of the year would you be happy considering proposing a dividend? Thank you.
Kaan Terzioglu: Ondrej. Thank you very much. Let me take the 4G ARPU question. And I will leave the free cash flow question to Serkan to answer. First of all, the choices that has been made in the past, I don't think it's productive to go back and analyze why we were so late in picking up the 4G penetration so low. I mean, in 24 months, what I can tell you is we move the 4G penetration among our subscriber base from 22 to 46 and the part that I liked the most in the last three months, every single month, we increased this with one full percentage points. So it means actually we are accelerating on catching up with the 70%. Now, this is very critical because if you look to actually presentation page 14, as customers move from being a single play customer, meaning that they only consume one service from us either being data or voice versus a customer being double-play and being double play on 2G or 3G versus 4G there is an incredible ARPU uplift impact. And it is not only visible in the ARPU uplift, but it is also visible in the churn reduction, even visible in minutes of use. So the more smartphones, the more 4G consumed, actually even usage of normal voice services has a positive impact up to two times. So this is why we are critically looking into this. And the other issue, why it is so critical is now that we are at almost 50% in terms of 4G penetration the real accelerated part of our strategy is going to come into play. And that is the digital operators and making sure that we go, we move away from selling number of minutes, number of SMS, number of gigabytes to selling digital life cycle bundles. Every operator who has done this transition has been able to increase their growth rate by further tens. And that's really what we are focused on now that we are in the territory of 4G base getting stronger and stronger you will see us moving into the digital operators strategy at various speeds in different countries. Maybe Serkan to you on the cash flow.
Serkan Okandan: As far as I could follow up you ask three questions like you start with Pakistan EBITDA one offs and then free cash flow and then dividends. So I will try to follow the same sequence. First Pakistan, as I mentioned in the presentation, there are one offs both last year and this year. But I think this year's one off is more important than last year's because last year it was one time. But, this year since we have clarified now the accounting of this renewal of rights expiry license that will be an ongoing positive boost for the EBITDA in Pakistan because going forward amortization of EBITDA, sorry amortization of the license will go below EBITDA than amortization line. So that will give a quarterly boost to Pakistan, EBITDA depending on the FX of course, $5 million to $6 million per quarter. So that that's a permanent advantage that we are going to benefit in Pakistan. Having said that, when I look at the numbers in Q3, in Q3 we generated roughly $60 million EBITDA, sorry, $115 million free cash flow in Pakistan and that's a very strong number. And going forward we believe that despite there are lots of investments coming in Pakistan. We can continue this free cash flow generation in the coming quarters as well. That's about Pakistan. The second one was overall EFCF expectations in Q4 and going forward. Of course, Q3 was remarkably strong in terms of EFCF, we have generated more than $300 million cash in one quarter almost more than $100 million per month. Historically, Q4 is not as strong as Q3, because it's end of the year, everybody's trying to close their accounts and also, vendor payments are probably increased compared to Q3, and also capitalization of projects, CapEx projects and making them live will increase towards end of the year. So we are not expecting as strong as Q3 EFCF, but it won't be as weak as Q1 and Q2 this year. So it will be somewhere in between, in our opinion. So we will close the year with a strong EFCF number with good results in Q4 as well. Then linking this to dividend as I mentioned, our dividend policy unchanged, still minimum 50% of EFCF after license payments, and we need to keep an eye on our leverage ratio, which is maximum 2.4 times. That's what we are trying to do and in Q3 it was 2.5 times. But having said that we are expecting to close [Spire] before end of the year and by closing this project, we will get proceeds, as Kaan mentioned, hopefully more than a billion dollar with the help of the appreciation of Ruble nowadays. So we want to see the closure of the project. That's one. And second, we want to see where we are going to end in terms of leverage because the intention is that we will use those proceeds to deleverage the balance sheet. So we want to see the outcome of these two actions and of course, the results of Q4. But having said that even without any further EFCF generation in Q4, we are positive to distribute dividends based on 21 numbers. But we will see it in the first quarter of the next year hopefully. It was a long, long…
Ondrej Cabejšek: Thank you if I may, just two quick follow up. In terms of the one offs I was specifically asking about what is in the pipeline for spectrum? What visibility do you have, especially in some of the markets such as Pakistan and Bangladesh where we've been seeing headlines around potential options in the short term? Do you have any visibility on those one offs? And then in terms of the outlook, I was specifically interested in working capital. Do you think the levels of working capital that you have today are kind of stable going forward or do you see some major changes in the short term? Thank you.
Serkan Okandan: So, I missed it, in one sentence working capital and I hand over to Kaan for spectrum. Working capital, we see that there are improvement areas in working capital. We can do better working capital management in the coming quarters, but probably Q4 will not be one of those because it's end of the year. But if we take a longer trajectory we can improve our capital further.
Kaan Terzioglu: Thank you Serkan and with regard to the spectrum question, you have probably noticed how disciplined we are when it comes to making spectrum investment decisions. In Pakistan we actually decided not to bid. It was a principal decision. We will never make mistakes of making money in rupees and Rubles and investing in dollars to spectrum. And basically that was the driving force. Now naturally in markets like Pakistan and Bangladesh population and the opportunity that population will bring will always require additional spectrum. We feel very comfortable in Pakistan for the next two years with also some reforming and shutting down to 3G over the time to meet our needs. But of course, if there are changes in regulatory environments allowing local currency tenders we will consider that. Next year we are going to have a renewal of our license as well which we are planning in our financial projections. With regard to Bangladesh, we have acquired additional spectrum this year. We now hold 25% of the spectrum in Bangladesh, and the 25% spectrum compared to our current almost 18% market share shows actually the upside that the country represents to us. And again, looking to the potential we will always be looking for additional opportunities in this area as well.
Operator: Thank you. And your next question comes from the line of Ivan Kim from Xtellus Capital. Your line is open. Please ask your question.
Ivan Kim: Yes, good afternoon. Two quick questions for me. Firstly on Moscow leasing. Any further thoughts on that? And then secondly, on the Russia growth in 22. So the recovering third quarter is definitely better compared to the second. So there is sequential improvement. But then I'm just wondering, given the current LTE penetration runway what sort of growth we should be expecting ballpark in Russia in 22? Do you think it's going to be a high single digit? So you think it's going to be mid single digits very roughly? Thank you.
Kaan Terzioglu: So Ivan thanks a lot for the questions. Let me start with the Russian 2022 outlook. I think I made this comment in our last quarterly call as well. My desire around this time next year to see high single digit double digit growth in Russia. I made a special disclosure on Q3 announcement giving you a little bit of a glimpse on what happened in September this quarter. And in September, we actually reached a service revenue of 5.3% growth year-on-year for the month, and 10.2% overall. So this indicatively tells you that what I'm saying is not that far off from possibility given the LTE penetration increases and this year, we will see more discipline, inflationary pricing in our ratio operation. In terms of Moscow opening up for trading opportunities, we will keep you updated about the progress. And as we have indicated, that we are very focused on making sure that the expectations of our shareholders are met in terms of wider coverage of different time zones and currencies and hopefully we'll keep you informed over the next couple of weeks of that progresses. Alex do you think you would like to?
Alexander Torbakhov: Yes. Absolutely yes. On the general listings point of course, we do appreciate that investor desire to follow us more from relevant local markets where we are active and of course from different time zones. So absolutely whatever we can do to facilitate to encourage it's obviously our priority. So as Kaan mentioned, we'll keep you posted, but we are extremely geared to any opportunity of this kind.
Operator: Thank you. And your next question comes from the line of Alexander Vengranovich from Renaissance Capital. Your line is open. Please ask your question.
Alexander Vengranovich: Yes. Good afternoon. Very quick clarification question on equity free cash flow you've generated over the first nine months. So basically, before like last quarter, I think you showed before the deconsolidation of Algeria, you show roughly around $50 million of equity free cash flow which transformed into kind of a zero equity free cash flow after the deconsolidation of Algeria for the first half of 21. So I'm just wondering whether this difference really comes from Algeria? And the second question here, whether you will consider this equity free cash flow generated by Algerian operations when you will be calculating the equity free cash flow eligible for the dividend payments this year? Thank you. 
Serkan Okandan: Firstly, the contribution of Algeria to free cash flow is positive. In overall, if you talk about ballpark figures, it's generating roughly $100 million EFCF every year. So we have excluded Algeria in our numbers. So this impressive performance of EFCF in Q3 is not coming from Algeria. Genuinely the EFCF performance in Q3 was much better than the first half of the year. And the second part of the question, whether we will include or exclude Algeria EFCF actually we have received the dividends from Algeria from 2020 results. So we received the cash from Algeria based on our shareholding of course. So, when we assess the dividend distribution, beginning of the year, we will take into consideration the reported EFCF numbers which is 321, year-to-date September. So, we will add Q4 and take that into consideration.
Operator: Thank you. And we do have follow up question from the line of Henrik Herbst from Morgan Stanley. Your line is open. Please ask your question.
Henrik Herbst: Yes. Thanks very much. Sorry, I wasn't I didn't really sort of guess what you mean that the revenue mix is shifting, but your comments around thinking about EBITDA in Russia in absolute terms. But do you mean EBITDA? Does that mean that the revenue mix is worsening and we shouldn't expect much growth or if you can just clarify that. And then I just also wonder when it comes to the tower disposal. Shouldn't that be positive for EBITDA margin if anything I mean I guess I thought you wouldn't be much of a change to EBITDA given that the under IFRS 16 lease costs are going outside of EBITDA. So yes, if you could just sort of clarify what you mean and Kaan maybe when you talk about high single digit web growth next year in Russia. Is that top line or is that EBITDA or both? Thank you very much.
Kaan Terzioglu: Let me start with the question about the double digit growth side. I would expect that these would converge to each other both on mobile service revenue top line. Top line actual is of course, as the revenue combination that Serkan and I will, I think also will clarify. But as we enter into new markets, including more device sales driving our 4G, more system integration type of project, AdTech projects, hosting projects, which we will be entering these will be accretive in terms of nominal EBITDA but it might come with less margins in some areas, and definitely for devices. So that's the clarification I would make.
Serkan Okandan: Actually my comment was there's a kind of couple of developments in Russia which will impact the EBITDA margin, both on the revenue and the cost side. Let me elaborate a little bit more. As Kaan mentioned, we have different revenue streams in Russia. We have traditional core telco revenues. We have device business. We have digital services, and we look at them segment by segment and the growth rates in each and every segment is different from the other. That's number one. The second, the margin, EBITDA margin for each segment is different as well. So there are some segments which we are having high margins, some segments, for example, device segment, which we have single digit margins. So the composition of this revenue will impact the EBITDA margin. The second thing which is specific for Russia that maybe the first part is generic, but the second thing is specific for Russia after closing the tower sale deal, the cost structure of Russia will also change because of this tower deal. So that will also impact the EBITDA from margin perspective if you look at long term perspective, if you look at two to three year’s time. So combination of both you may not see a stable trend in EBITDA margin. And on top of this, of course, we should take into consideration the seasonality as well. So that was what I was trying to explain. But in any case since we don't have any margin business in any case, the trajectory and obsolete amount in EBITDA will give us more stable indication about the growth in the business.
Operator: Thank you. And we do have also follow up question from the line of Ondrej Cabejšek from UBS. Your line is open. Please ask your question.
Ondrej Cabejšek: Yes, thank you. Two follow ups for me, please. In terms of the towers, again, you mentioned some of the impacts on your margin. Do you have a bit more clarity now after some assessments what exactly the impact on your net leverage could or should be once that is closed? And then you also mentioned the potential for active sharing. I'm wondering if this is something that you are already exploring whether this is kind of the next step after you finalize all of the passive deals that you would like to do and whether do you see this currently becoming more of a topical so with your peers in various markets because of the rising energy costs? Thank you.
Kaan Terzioglu: Ondrej first of all, let me answer the parts with the active sharing. We are already inactive sharing agreements in certain regions with more than one of our competitors in Russia. And as I mentioned earlier for me network sharing of all options, passive, active, spectrum sharing, these are always things that we will look from an open mind perspective. And the moment we see opportunities we will engage. In some markets, like Kazakhstan, and especially in Russia, we are already doing this and we look forward to increasing the scope of these activities as well. With regard to the impact of leverage of towers in Russia please Serkan.
Serkan Okandan: For EBITDA at the group level, the impact will be slightly positive at the group level. In leverage, of course, depending on the fixed rates, etc, we believe that we can de-leverage the balance sheet around $350 million. Why it is less than 1 billion because we have to book the lease liabilities in our balance sheet when we close the transaction. So net-net, we believe that we can decrease the leverage by $350 million.
Ondrej Cabejšek: Thank you, and in combination with the EBITDA plus, what kind of impact would that have on the net debt to EBITDA? You mentioned, there are two positive effects.
Kaan Terzioglu: You mean leverage multiple you mean. It is? 
Ondrej Cabejšek: Yes, exactly.
Kaan Terzioglu: 0.1, 0.2 times positive.
Operator: Thank you. [Operator Instructions]
Kaan Terzioglu: No more questions. Thank you very much. We appreciate your time and trust in our company and looking forward to seeing you in London in the upcoming Capital Markets Day. Thank you very much.
Serkan Okandan: Thank you very much.
Kaan Terzioglu: December 7. Thank you so much.